Operator: Welcome to the Firefly Aerospace Inc. third quarter 2025 Financial Results Conference Call. At this time, participants are in a listen-only mode. A question and answer session will follow the formal remarks. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star 11 again. Please note this conference is being recorded. I will now turn the conference over to Michael Sheetz, Firefly Director of Investor Relations. Michael, you may begin.
Michael Sheetz: Thank you, operator. Hello there. I'm Michael Sheetz, and welcome to Firefly Aerospace Inc.'s third quarter financial results call. I'm pleased to be joined on the call by CEO, Jason Kim, and CFO Darren Ma as we report for the period ending September 30, 2025. Today's call will include forward-looking statements including, but not limited to, statements the company will make about its future financial and operating performance, growth strategy, and market outlook. Actual results may differ materially from those contemplated by these forward-looking statements. Factors that could cause the actual results and trends to differ materially are set forth in the annual and quarterly reports filed with the SEC. Firefly Aerospace Inc. assumes no obligation to update any forward-looking statements which speak only as of their respective dates. Also, in this call, we will discuss both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in the third quarter 2025 filing. Unless otherwise stated, financial information referred in this call will be non-GAAP. Our earnings press release, SEC filings, and a replay of today's call can be found on our Investor Relations website at investors.fireflyspace.com. Now I'll turn the call over to Jason.
Jason Kim: Thank you, Michael, and welcome to our third quarter 2025 earnings call. As yesterday was Veterans Day, I want to kick off today's call by thanking our country's service members for their dedication, courage, and sacrifices in serving our nation. Ensuring we remain the home of the free in the land of the brave, Firefly Aerospace Inc. proudly employs many veterans like myself. And we are honored to continue to serve as we work critical national security missions supporting our warfighters. Firefly Aerospace Inc. is a space and defense company delivering innovative hardware and software to perform the hardest missions in space for national security, exploration, and commercial technology. Built to keep America as the leader in space while inspiring the world. Our hardware is represented by four revenue-generating products: our small lift Alpha rocket, medium lift Eclipse rocket, Blue Ghost lunar lander, and Electra satellite orbiter. These hardware products have a robust backlog of $1.3 billion at the end of quarter three. Our software offerings come through our recent strategic acquisition of SciTech. These capabilities include AI-enabled defense software proven in operations, including missile warning and defense, intelligence surveillance and reconnaissance, space domain awareness, remote sensing and analysis, and autonomous command and control to support diverse spacecraft missions. Firefly Aerospace Inc.'s product suite is strategically tailored to support the growing opportunities in space. Every day, there are new industry tailwinds for the space sector: artificial intelligence development, data center expansion, and an intensifying focus on the strategic and economic benefits of the moon. In addition, we have seen a major shift on defense funding and priorities supporting Golden Dome, with $175 billion planned for the program over three years. We are positioned to meet the call from the secretary of war in his arsenal of freedom address, where he demanded commercial speed and scale, similar to what we delivered on the US Space Force with the 24-hour turnaround Victus Knox launch, as well as our landing on the moon earlier this year at a fraction of the time and cost of previous missions. Before I get into our third quarter business updates, I will provide an update on the status of one of our multiple product lines, Alpha. A few weeks ago, an event during a ground test firing at our facility in Texas led to the loss of the Alpha first stage booster that we were preparing for flight seven. Following a thorough review, Firefly Aerospace Inc. identified a process error during stage one integration that resulted in a minute hydrocarbon contamination which then led to a combustion event in one of the engines during the ground tests. Proper safety protocols were followed, and all personnel were safe. The test stand structure remained fully intact, and no other facilities were impacted. We immediately took actions and implemented corrective measures, including a production stand down day. As this was not a design issue, those corrections included increasing inspection requirements for the fluid systems, optimizing the first stage sensors, and incorporating additional automated awards for testing. We also implemented key process improvements following the stand down day, where the production, integration, and test teams conducted exercises to review and optimize existing procedures. As part of Firefly Aerospace Inc.'s effort to improve reliability and quality, the team will continue to hold regular exercises for sustained process enhancements. Flight seven will now utilize the next Alpha first stage booster from our production line, which is currently undergoing final preparations for shipment to our launch site in Vandenberg. Prior to the event, we had already tested the second stage and fairing and delivered them to the launch site. As part of Firefly Aerospace Inc.'s test campaign ahead of each launch, the team will then conduct a static fire test at our launch pad prior to flight seven launch. Our flight seven launch is targeted between late fourth quarter to early first quarter, depending on range availability. Firefly Aerospace Inc. will have more details to share on the technology demo mission in the coming weeks, and I have full confidence in our vehicle's design, as well as our passionate and dedicated Alpha team to return to flight safely. Additionally, we're concurrently upgrading the Alpha stage test stand at our Briggs facility. These previously planned upgrades are expected to be complete in the next few months. Another key update since the end of the third quarter is that Firefly Aerospace Inc. closed the acquisition of SciTech, in line with our strategic growth plan. SciTech is an exceptional company with more than four decades of operational excellence, bringing game-changing proven software applications and big data processing elements that bolster Firefly Aerospace Inc.'s proven hardware elements. As an analogy, Firefly Aerospace Inc. builds the hardware smartphone such as our launch vehicles and spacecraft, SciTech develops the software apps such as mission autonomy, targeting, and sensor intelligence. Together, we expand from hardware-centric programs into long-term software-enabled revenue. SciTech has operational defense software and big data processing. Their infrastructure is state of the art with classified facilities and of the Department of War, Intelligence Community, and commercial customers. SciTech is differentiated from other defense software companies through its industry-leading multi-phenomenology expertise. Are closely linked with spacecraft and constellations. Together with SciTech, Firefly Aerospace Inc. will be able to provide the Golden Dome program with comprehensive end-to-end capabilities. There are three major elements of Golden Dome that we are pursuing. We can fly and deliver space-based interceptors utilizing our spacecraft, launch surrogate targets and hypersonic tests with our Alpha rocket, as well as integrate data processing from a network of sensors to perform fire control with SciTech ground processing. This closes the fire control loop with an integrated network of interceptors, essentially filling the missing link for the air and missile defense shield for the US homeland. Firefly Aerospace Inc.'s workforce following the SciTech acquisition stands at over 1,300 strong, SciTech's highly technical employees are made up largely of PhDs software developers, 90% of whom have security clearances. Now turning to our business updates. In the third quarter, we completed important program milestones across each of our revenue-generating product lines. Let's start with spacecraft. As the only company to have successfully landed and completed a NASA commercial lunar payload services mission, we were honored to have the agency award us with back-to-back contracts worth $177 million to fly Blue Ghost mission four. Targeting a 2029 launch, this mission will see Blue Ghost deliver five NASA payloads to the moon's South Pole supporting our annual lunar flight cadence. On this mission, Blue Ghost will enable NASA to evaluate the moon's south pole resources, such as hydrogen and water, as well as study the radiation and thermal environment. The moon's south pole is a strategic priority for our nation, as we anticipate a high density of resources that supports the growth of the lunar ecosystem. Another opportunity we are able to provide to our was collecting additional data above contractual requirements during our first mission. In September, NASA awarded us a $10 million contract addendum for Blue Ghost mission one for the acquisition of additional lunar data collected. This stands as a historic lunar economic milestone as it represents the start of monetizing valuable data of the moon to support more science and exploration the understanding of the geographic features of the moon's surface, and to support future human mobility, mining, and infrastructure initiatives. Of note, we continue to pursue additional sales opportunities beyond NASA for our Blue Ghost mission one lunar data. We're in discussions with multiple commercial and international organizations about how the information gathered by Blue Ghost Mission One can benefit future missions, such as how we successfully landed and maintain operations through extreme temperature ranges on the moon. The Blue Ghost data cell also serves as validation for our Ocula commercial imaging and mapping service model, we are debuting with our Blue Ghost mission two. Hosted by an Electra orbiter, Ocula will continue to provide even higher resolution imagery videos, and multispectral phenomenology data that can support NASA, the commercial lunar industry, international entities, and the US Space Force missions on and around the moon. Blue Ghost mission two, targeted to launch next year, is well underway. We built and fit checked the structural qualification models that will support our second mission, as well as performed initial systems level qualification testing on-site in Texas, before delivering to the Jet Propulsion Laboratory in Pasadena, California where further testing is underway. This pioneering multi-mission effort will land on the far side of the moon, which will be a first for a US lunar lander and then perform the NASA Lucy Knight Science Mission to sense radio frequency signals traveling over millions of years that could help unlock answers about our universe. In addition, our lander will deploy the Rashid rover two for The United Arab Emirates Mohammed bin Rashid Space Center. The full stack will also include an electric transfer vehicle, that will deploy the lander as well as a European Space Agency lunar pathfinder satellite. We are excited about the nation, congress, and world's growing focus on the moon. We anticipate the next NASA administrator to further reinforce this leveraging transformative commercial technologies and increasing both the magnitude and frequency of high return on investment programs like that of the commercial lunar payload services program. Moving to Electra, our Mission One team conducted simulation testing in preparation for the spacecraft to ship out for launch. This rigorous testing campaign saw our team perform more than two hundred hours of rehearsals simulating dozens of orbits around the Earth. Back in our hive spacecraft clean room, assembly is underway of our Electra Mission two spacecraft, which will support Blue Ghost Mission two as mentioned earlier. And Electra mission three completed its preliminary design review, maturing the vehicle's high maneuverability design as we prepare for the defense innovation units high priority national security space domain awareness demonstration mission in 2027. And reduce risk for future space domain awareness programs of record. In addition, our SciTech team can enhance the mission with its over four decades of classified data processing and mission operations experience. Additionally, Electra is increasingly supporting more NASA initiatives. We partnered with Advanced Space to support NASA's LunaNet communications relay service. We're developing a mission framework that utilizes our electric vehicle as transfer stage for the relay network. Similar to how we will use Electra on Blue Ghost missions. NASA also awarded an Electra study contract to demonstrate how to meet the need for multi spacecraft and multi orbit delivery to difficult to reach orbits beyond current launch service offerings, highlighting the multi-mission capability of Electra. Shifting to the launch side of our business, we signed an IDIQ and task order for a hyper test mission on Alpha with a confidential customer. We're proud to have Alpha support these critical national security missions which further diversifies Alpha customer base and we look forward to sharing more information when possible. We also signed an agreement with SpaceCatan to study launching Alpha from the Haikaido Spaceport in Japan. Addition to work underway at our coming launch sites in Virginia and Sweden. This potential launch site in Northern Japan offers strategic orbital access advantages provides resiliency in launch pads, and would allow us to tap into the large satellite industry in Asia. While also supporting US allies in the region. Development of Eclipse, our medium lift reusable rocket continued to progress in the third quarter. The build of all first flight Miranda engines is underway. The first Vera development engine, powers the upper stage of Eclipse, has completed the majority of design reviews, clearing the way for manufacturing to begin build. We're on track to begin VERA hot fire testing in the first half of next year. And we've begun final assembly of the launch site hold down release adapter ahead of a fit check with the first flight engine bay. I am so proud of our Fireflies and the Cytecors who are now part of our team. They achieved historical milestones, proven to deliver operational systems, and continue to do the boldest missions in space. And we are just getting started. We are focused on executing our strategic growth plan fostering a culture of safety, quality, reliability, and innovation. We are enhancing our products and with our dedicated and passionate Firefly Aerospace Inc. team, we collaborate with our partners in achieving new category defining missions in space. To help protect, connect, and explore. With that business summary, I'll turn it over to Darren for a review of the third quarter financials.
Darren Ma: Thank you, Jason, and good afternoon, everyone. In today's call, I'm going to review the SciTech acquisition, which recently closed, discuss our third quarter financial results, and provide our revenue outlook for the remainder of 2025. I would like to thank the teams from both Firefly Aerospace Inc. and SciTech for the incredible dedication and laser focus on completing this transaction in just a month after announcing the proposed deal. As we noted at the time of the transaction announcement on October 5, the purchase price of approximately $855 million included a combination of $300 million in cash, 11.1 million shares of our common stock at $50 per share. Recently, we upsized our revolving credit facility to $260 million from $125 million. For the cash portion, we used $40 million from our cash balances with the remaining amount coming from our recently upsized revolving credit facility. After careful analysis, we concluded increasing our revolver and minimizing cash usage was the most prudent way to maintain our fortress-like balance sheet that we will leverage to drive our growth objectives. Before reviewing our third quarter performance, I want to reemphasize that operational metrics drive Firefly Aerospace Inc.'s financial performance. Key operational metrics include the number of launches and execution on program milestones across both our spacecraft solutions and launch businesses. Specifically, in our spacecraft solutions business, which will include SciTech going forward, we recognize revenue as a percentage of completion under each contract. For the launch business, we focus on the number of launches, Revenue for our operational Alpha vehicle is recognized at a point in time when the launch occurs. For Eclipse, while in development, we recognize revenue as a percentage of completion based on program milestones as part of the Northrop Grumman partnership. Once the Eclipse vehicle is operational, we will recognize revenue as launches occur. Now turning to our third quarter results. Revenue was $30.8 million. This compares with $15.5 million in the second quarter and $22.4 million in the same quarter a year ago. Within our total revenue, spacecraft solutions was $21.4 million, and launch was $9.4 million. The sequential increase was primarily driven by the Blue Ghost Mission one data sale to NASA. Progress on Blue Ghost mission two development and the ramp of Electra mission three for the defense innovation unit. We ended the third quarter with a total backlog of approximately $1.3 billion. This was up from $1.1 billion at the end of the second quarter. Driven by the NASA CLIPS contract award Jason referenced earlier. Backlog is one of the key metrics we monitor and is a leading indicator of our future revenue performance. Third quarter gross margin was 27.6%. This compares with 25.7% in the prior quarter and 34.7% in the same quarter a year ago. GAAP operating expenses for the third quarter were $70.7 million compared with $58.3 million in the second quarter and $42 million in the same quarter a year ago. The changes were primarily driven by an increase in launch material expenses costs associated with becoming a public company, and one-time expenses, including those related to the IPO, and acquisition-related transactions. For operating expenses, the primary differences between GAAP and non-GAAP are stock-based compensation expense, and one-time expenses. Non-GAAP operating expenses for the third quarter were $61.3 million compared with $55.8 million in the second quarter and $39.7 million in the same quarter a year ago. The changes were driven by the same factors as I noted in the GAAP operating expense comments. GAAP operating loss was $62.2 million compared with a loss of $54.4 million in the second quarter and a loss of $34.2 million in the third quarter a year ago. Non-GAAP operating loss was $52.8 million compared with a loss of $51.8 million in the second quarter and a loss of $31.9 million in the third quarter a year ago. Our GAAP net loss in Q3 was $133.4 million. This compares with a loss of $63.8 million in the prior quarter and $40.8 million in the same quarter a year ago. The sequential difference was due primarily to a change in warrant liability, and a payoff of an existing term loan following the IPO. Our non-GAAP net loss was $51.4 million. This compares with a loss of $57.1 million in the prior quarter and $38.2 million in the same quarter a year ago. GAAP basic and diluted net loss per share was a loss of $1.50. Based on a weighted average share count of 93.8 million. Non-GAAP basic and diluted net loss per share was a loss of $0.55 based on a weighted average share count of 93.8 million. For some additional granularity on EPS and share count, as a reminder, our IPO date was August 7. If you took into account a full normalized quarter as a public company, assuming that the IPO and its related transactions, including the repayment of our term loan facility, occurred prior to the beginning of the third quarter. The basic undiluted non-GAAP net loss per share would have been a loss of $0.33. Based on a weighted average share count of 147.7 million. Adjusted EBITDA in the third quarter was negative $46.3 million compared with negative $47.9 million in the second quarter and negative $28 million in the third quarter a year ago. Turning to our balance sheet. As of September 30, our cash and cash equivalents and restricted cash was approximately $996 million. Firefly Aerospace Inc.'s fortified balance sheet positions us to scale our market-leading products and fuel strategic growth in the years ahead. Capital expenditures in the third quarter were $8.9 million compared with $9.2 million in the second quarter and $8.2 million in 2024. Free cash flow was negative $62 million compared with negative $37.3 million in the second quarter and negative $44.8 million in 2024. The increase in negative free cash flow is primarily driven by Blue Ghost's mission launch prepayments and investments in Eclipse development. With the government shutdown, we are assessing what lingering impact that the closure will have on our financial results. During the closure, there was a pause of many government programs that resulted in delays with some contract receivable payment dates, and customer milestone reviews. As of now, we don't have clarity when the government's normal operations will ramp and payments that were on hold will be made. Now moving to our outlook. We currently expect full year 2025 revenue will be in the range of $150 million to $158 million, which is an increase from the $133 million to $145 million range we previously provided. And for clarification, with the SciTech close date of October 31 and shares associated with the transaction, we expect our basic and diluted weighted average shares outstanding for Q4 to be between 155 million and 157 million shares. I would like to thank everyone for their interest in Firefly Aerospace Inc. I'll now turn the call back to Jason for his closing remarks.
Jason Kim: Thank you, Darren. Since the end of the third quarter, Firefly Aerospace Inc. has been pushing forward with additional progress on several items. Recently, we took delivery of Rashid Rover two, which as noted earlier, is a payload we're flying on Blue Ghost mission two. The UAE MBRSC team has been a pleasure to work with and payload delivery was very smooth as a testament to their team's impeccable knowledge and dedication to space and the moon. We are honored to be supporting MBRSC further strengthening US relations with The UAE. Our Blue Ghost Mission three team completed the preliminary design review. As the mission progresses towards its launch for NASA targeted for 2028. As a reminder, Blue Ghost mission three will utilize Firefly Aerospace Inc.'s Blue Ghost lander, an Electra orbiter and a rover from Blue Origin Honeybee to investigate the unique composition of the Grutheissen domes. A part of the moon that has never been explored before. Blue Ghost mission three will deploy the rover and operate six NASA sponsored payloads for more than fourteen days on the lunar surface. And I'd be remiss if I didn't mention that time named Blue Ghost Mission one to its list of the best inventions of 2025. With Firefly Aerospace Inc. spacecraft program director Ray Ellensworth, also named among the world's rising stars on the TIME 100 next list. The planets are aligned with the White House, Pentagon, and NASA demanding speed and scale through transformational change. Leveraging commercial innovation, and investments into technology and production systems. We're delivering on those demands. We've mapped our return to flight path for Alpha Flight seven added alpha contracts via the hypersonic task order, and are expanding our plans. For multiple resilient launch sites. We are pursuing the $175 billion Golden Dome program on multiple fronts. And are clearing operational milestones. Across our product lines. These are exciting times at Firefly Aerospace Inc., as we execute our strategic growth plans and create new categories in space that support our customers and inspires the world. That concludes our prepared remarks. I'll turn it back over to Michael.
Michael Sheetz: Thank you, Jason. Operator, we're ready to take questions.
Operator: Thank you so much. And as a reminder, to ask a question, press 11 and wait for your name to be announced. To remove yourself, press 11 again. Moment for our first question. And it's from Sheila Kahyaoglu with Jefferies. Please proceed.
Sheila Kahyaoglu: Good afternoon, guys, and thank you. Maybe just on visibility into launch seven timing now. How do you think about how that impacts 2026 Alpha launches? Does that put pressure on the rest of the manifest? Or do we think about launch date still a good target timing?
Jason Kim: Yeah. Sheila, thank you for that question. This is Jason. So we're targeting in between late fourth quarter and beginning of, early first quarter for our Flight seven launch. We'll get a lot of you know, post flight data from that. But you know, we are still assessing, 2026. And you know, our plans are we get a good flight up get the post data, and continue production. As you know, we have a production line going. So that's how we were able to take the next stage one booster and apply it to our flight seven. So we're just continuing to make progress on production.
Sheila Kahyaoglu: Got it. And then maybe if I could ask on I know it's only been a few days since you closed SciTech. So how are you just thinking about gonna next quarter or going into year end moving forward on the integration and the road map there? And just potential revenue synergies.
Jason Kim: Yes. Sheila. The integration with SciTech is going very smoothly. We've done a lot of work with our finance and accounting and our human resources and IT and the list goes on and on, especially in engineering. One of the strategic values of the SciTech acquisition was it bolsters our national security pursuits. $175 billion Golden Dome program. And in addition, when we look at M&A, we're looking at strategic fit. We're looking at culture fit. Financials as well, but also synergies. And in the engineering department, there are a lot of synergies with software. Our hardware is defined by the software that goes into it. And so SciTech best practices and software developers the classified software developers, will help bolster capabilities that we already build today. So there's a lot of synergies there. And in addition, SciTech has a lot of capabilities that they could leverage Firefly Aerospace Inc. as well for their programs in particular. There's a lot of you know, forge work that they're doing, a lot of command and control work that they're doing, a lot of autonomy that they're doing, and there's a lot of synergies with what we're doing with our Electra spacecraft in terms of space domain awareness, missile warning, missile tracking, and autonomy that we could synergize with SciTech.
Sheila Kahyaoglu: Got it. Thank you.
Operator: Thank you. One moment for our next question. That comes from Seth Seifman with JPMorgan. Please proceed.
Seth Seifman: Thanks very much, and good afternoon. Wanted to follow-up on SciTech. Know, if how should we think about the growth rate in that business versus know, the the LTM revenue that that you've reported? And and then well, let's just start with that one and then I have a follow-up as well.
Darren Ma: Yeah. Hey, Seth. This is Darren. We haven't broken outside tech separately. We've rolled it in and factor in. So our our 2025 number. So, I mean, when you look at 2026, you know, that's obviously dependent on a number of factors. Number of Alpha launches. Have an know, we're making great progress on the clip side. While generating revenue on the development. And on the spacecraft side, we've got know, Blue Ghost missions two, three, and four ramping and fall in parallel as well as Electra missions.
Seth Seifman: Right. Okay. Okay. And and for okay. And and so SciTech not not really much color at this point about how that I I think it was one sixty something in the slides for the the LTM revenue.
Darren Ma: Yeah. We we've included obviously, I mean, right now, there's some moving parts, but we've included in two months of that into our 2025 revenue guidance.
Seth Seifman: Right. Okay. And I guess, when we think about just more conceptually about how this fits into the business, SciTech can provide, and you talked about the analogy with the iPhone and and the apps and having it go into your hardware. Is is the is the intention for this to be something that's exclusively or very much, having the resources dedicated to your hardware or, you know, to the extent there's other hardware involved in in Golden Dome. That you would be pursuing the ability to have SciTech, you know, apps or or you know, SciTech involved in supporting the hardware that's made by others.
Jason Kim: Yes, Seth. This is Jason. Thank you for that question. SciTech will be operated as a Firefly Aerospace Inc. subsidiary. And they'll operate under its current business model. So Jim Luszowski is the CEO. So I think he'll report into me directly. We did that for deliberately so that SciTech could continue to provide their best in class capabilities for all their government customers, but also their commercial customers. There's a number of prime contractors that they support with both ground processing and software analytics but in addition, also onboard processing, edge processing as well with the algorithms. And so we want them to continue that growing business, but where there are synergies is, you know, we build our own spacecraft as well, our lunar landers and our Electra orbiters, and so we will be able to leverage their software developers and their best practices and their algorithms to put onboard our spacecraft as well in addition to who they already support. In addition, they also do a lot in ground command and control and ground processing. And that's something that today could help some of our programs that we have. For national security in that they can provide classified mission operation centers as well as classified processing. In terms of Golden Dome, what they add to our offering is know, as you know, Firefly Aerospace Inc. offers our Alpha responsive launch capability to launch targets as well as hypersonic test vehicles. We also have our Electra spacecraft that can serve and is well positioned for the maneuverability requirements for a space-based interceptor capability. But SciTech has the ground processing and fire control element. That is also required by the Golden Dome program. And that's something that gives us you know, multiple shots of the goal for Golden Dome.
Seth Seifman: Excellent. Thanks. Thanks very much.
Operator: Thank you. Our next question comes from Edison Yu with Deutsche Bank.
Edison Yu: Hey, thank you for taking our questions. Wanted to ask about the international opportunity. You cited the Alpha Partnership, and in Japan. What kind of volume do you think of launches is maybe up or grab outside The US?
Jason Kim: The short answer is we want to continue building on the relationship with Japan and others in that region. As we build up relationships you know, we'll give more firm numbers in terms of the total available market. But what I would say is in the past, I've heard that Japan has $6 billion for applying to space. So that's a very large market, and they are also looking at their own Space Force that they stood up in the past couple years. So we envision that they'll need the same things that The US and other allies will need. Things like responsive launch, things like know, SciTech ground processing and software. Also things like a constellation launch with Eclipse, and furthermore, orbiters, such as Electra. We're working with, not only Japan, but the European Space Agency. We've been in discussions with The UAE, as mentioned before, and the RSC. So it goes beyond just you know, Alpha launches. It includes all of our product lines. And you know, the success and progress we've had with expansion into other launch sites. That gives us more resiliency of launch and more opportunities to have launch cadence launching from more destinations. Such as Wallops and Sweden, gives us a lot of good experience to support this study with SpaceGatan.
Edison Yu: Understood. And then separate topic. On on I wanna follow-up on the SciTech question earlier. Can you disclose any sort of maybe backlog numbers or pipeline numbers around that business? And and I don't know. Kind of not not trying to give out a growth rate, but you would expect this to to grow right.
Jason Kim: Going forward in the next couple years. Yeah. Absolutely, Edison. So I give you a little bit more color there in terms of SciTech. SciTech backlog is roughly $170 million, so that'll be additive to the $1.3 billion that we exited Q3 with.
Edison Yu: Great. Thank you.
Operator: Thank you so much. And as a reminder, if you do have a question, simply press 11 to get in the queue. Our next question is from Kristine Liwag with Morgan Stanley. Please proceed.
Kristine Liwag: Hey, good afternoon, everyone. I just wanted to follow-up regarding SciTech on the guidance. You guys highlighted last twelve months, revenue for SciTech is $164 million. You know, if we if we kinda look at that on a monthly basis, that implies $14 million of revenue per month, and it looks like you're gonna own this thing for about two months. So presumably, you know, that's $28 million of potential SciTech revenue in 2025, but you only raised the mid of your guidance by $15 million. Can you talk us through what the moving pieces here are of the changes?
Darren Ma: Yeah. Hey, Kristine. So just give you a little bit more color there. Yeah, it includes the our guide includes the two months of SciTech. Not all the SciTech revenue is all linear. So that's one part of it. There's some obviously, some, obviously, some moving pieces there. We've also included in in our revenue guide, and it the updated Alpha schedule as well. So it includes, again, the two month of SciTech and our updated Alpha schedule. So that at at that point, you know, we've raised our we've raised our guide to where it is, the $150 to $158 million.
Kristine Liwag: Great. Super helpful. And then, also, you know, just looking back regarding your your launch success, you know, the launch six, you know, was a failure, and then this most recent ground test testing, the anomalous event also was a failure. So when you look at the repeatability of your capability, you walk us through what you're changing in your operational structure to make sure that the subsequent launches here would be successful. Are there changes that you're implementing, and how should we think about your path towards a repeatable, successful launch?
Jason Kim: Yeah. Thank you for that question. Yeah. Following the test event, you know, we immediately took action and put implemented corrective actions. Which I mentioned before is includes increasing the inspection requirements for the fluid systems. Optimizing some first stage sensors, and also incorporating additional automated reports. We also had a day-long quality stand down with production integration and test teams. We implemented key process improvements. We conducted a number of exercises to review and optimize our existing procedures. And we're gonna continue to enhance our reliability quality culture. The team's gonna continue to hold regular exercises. For these sustained process enhancements. I will say that safety and quality has been a major focus for me this past year at Firefly Aerospace Inc. After the test event, the team immediately started the root cause analysis. And when initial findings showed the process errors, that's when I immediately requested a full stand down. Of stand down production integration and quality test team, stand down day, required all of the executive leaders also to attend. And this was our moment to utilize industry best practices and reset, refocus, and return us to flight.
Kristine Liwag: And do these events with Alpha change the timeline with Eclipse at all?
Jason Kim: The short answer is no. We have different flows for Eclipse. In terms of the the test stands, both the structural testing and the engine testing. There are some subject matter experts we have at the company that are supporting Alpha but that's for a limited period of time. We are also staffing up on the Eclipse program per our program plan. And so you know, this should not Alpha should not affect our Eclipse production. I will also say that of the benefits of our common commonality in our product lines is that every time we reduce risk or learn best practices on any one of our product lines. It also benefits the other programs. In terms of carbon composites and tap off cycle engines and test procedures as well.
Kristine Liwag: Thank you very much.
Operator: Our next question is from Sujeeva De Silva with ROTH Capital. Please proceed.
Sujeeva De Silva: Hi, Jason, Darren. My first question is on Golden Dome. Could Can you please go through some of the details of how Firefly Aerospace Inc. perhaps would SciTech would have opportunity here so we can kinda think about what may be coming, as that program starts up. Have, have have, offerings.
Jason Kim: Yeah. Thanks, Sujeeva. This is Jason. I think the plan is aligned. As I mentioned, in the call, the White House, the Pentagon, they have strong initiatives for reform for speed and scale and affordability. You've heard that on the Golden Dome program under general Gute Line. You've also heard it from secretary of War Hegseth and others. You know, it's things like the first is only twenty four hour Space Force Victus Knox mission. That they want more of, and we have more of those kinda missions coming as well. Know, they want more OTAs more CSOs. They wanna look at commercial technology first as a default. And so they're very focused on interoperability, speed, scale, strengthening competition in the industrial base. With that, know, we've we've been in communications with the Goldman Dome customers, in terms of know, Alpha Rockets, like I mentioned before, to support test targets for the space-based interceptors. Also, hypersonic test as well because there's a rich backlog of hypersonic test technology that needs to get burned down. So Alpha provides a commercially available capability to launch up to one ton of into orbit and and two tons of suborbital regimes. It's also something that, if you look at Golden Dome, it's got multiple lines of effort, at least this first tranche of space-based interceptors, there's at least five lines of effort. Three are space-based, and two are ground-based. And with the acquisition of SciTech, we're able to go after not only the rocket part of Golden Dome, but also the space-based interceptor part of Golden Dome, with our Electra vehicle, partnered up with SciTech, for some of the discriminating algorithms. And then the ground piece which includes the fire control system and the ground control element, that's something that SciTech does for a living. As you know, they are the prime contractor and software developer for the apps and the the hardware portion of Forge. The Space Force. And if you remember what Forge does, it takes in all the sensor data with high volume at rate from low Earth orbit, medium Earth orbit, geosynchronous orbit, polar orbit, you know, zebras, and know, next generation OPIR systems takes all that data at rate, and then processes it into decision quality information that the warfighters can use to to go and, protect our nation. So it's that type of ground processing and software analytics that can be brought to bear to Golden Dome. Just like you know, other national security ground systems. That the space development agency has and the Space Force has.
Sujeeva De Silva: Okay, Jason. Appreciate all that detail. And then thinking about, SciTech and the synergies, I know it sounds like it's a very, you know, feels like it's a very terrestrial sort of value proposition for SciTech, but could it possibly enhance what you may be planning with Ocula? And being able to extract analytics information from LUNAR observation, in the future as well?
Jason Kim: You're spot on, Sujeeva. You know, anywhere that you could take sense you know, you know, optical information, infrared information, even radio frequency information, whether it's around the earth or interplanetary or even the moon. And Mars. SciTech has the capabilities with their forty years of algorithm development and continuous you know, tech refresh of those algorithms and apply it know, almost from a library like LEGO pieces mix and match it to apply to different missions such as Ocula. Ocula is gonna you know, debut next we're targeting, late next year, 2026 to launch our Blue Ghost two mission, and that Blue Ghost two mission, there will be an Electra transfer vehicle that will orbit the moon for five years, and it'll do the first commercial imaging and mapping of the lunar surface. It also be tasked to do space domain awareness in cislunar space. And so all those algorithms that SciTech provide today for missile warning, missile tracking, and ISR and space domain awareness around the Earth. Can also be applied to the moon as well.
Sujeeva De Silva: Okay. Thanks, Jason.
Operator: Thank you. And this concludes our Q and A session. I will turn it back to management for final comments.
Michael Sheetz: This is Michael. Thank you so much for joining today's call. We look forward to talking to you next time in our fourth quarter financial results. Have a good day.
Operator: Ladies and gentlemen, this concludes our Q and A session. Thank you all for participating. You may now disconnect.